Operator: Good day, ladies and gentlemen, and welcome to the Q2 2017 Medical Properties Trust's Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference may be recorded. I would now like to introduce your host for today's call Mr. Charles Lambert, Managing Director. You may begin.
Charles Lambert: Good morning, everyone. Welcome to the Medical Properties Trust conference call to discuss our second quarter 2017 financial results. With me today are Edward K. Aldag, Jr., Chairman, President and Chief Executive Officer of the Company, and Steven Hamner, Executive Vice President and Chief Financial Officer. Our press release was distributed this morning and furnished on Form 8-K with the Securities and Exchange Commission. If you did not receive a copy, it is available on our website at www.medicalpropertiestrust.com in the Investor Relations section. Additionally, we're hosting a live webcast of today's call which you can access in that same section. During the course of this call we will make projections and certain other statements that may be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to known and unknown risks, uncertainties and other factors that may cause our financial results and future events to differ materially from those expressed and/or underlying such forward-looking statements. We refer you to the Company's reports filed with the Securities and Exchange Commission for a discussion of the factors that could cause the Company's actual results or future events to differ materially from those expressed in this call. The information being provided today is as of this date only and except as required by the federal securities laws, the Company does not undertake a duty to update any such information. In addition, during the course of the conference call, we will describe certain non-GAAP financial measures which should be considered in addition to and not in lieu of comparable GAAP financial measures. Please note that in our press release, Medical Properties Trust has reconciled all non-GAAP financial measures to the most directly comparable GAAP measures in accordance with Reg G requirements. You can also refer to our website at www.medicalpropertiestrust.com for the most directly comparable financial measures and related reconciliations. I will now turn the call over to our Chief Executive Officer, Ed Aldag.
Edward Aldag: Thank you, Charles, and thank all of you for joining us today for our 2017 second quarter earnings call. The first half of the year has been a record for MPT. In the first half of the year we announced the $1.9 billion of highly accretive acquisitions. With the expected completion of these acquisitions, we're announcing today, our 2018 normalized FFO in place run rate guidance, which includes acquisitions through the end of 2017. Steve will go through these numbers with you in more detail in just a few moments. During the second quarter and early third quarter of this year, we entered into binding agreements to acquire 11 more hospitals with Steward and completed the acquisition of 25 hospitals and started construction of one in Birmingham, England. These investments bring our total pro forma gross assets to gross assets of approximately $9.1 billion, 35% increase over 12/31/2016 gross assets. Pro forma, out total portfolio will include 270 properties representing more than 31,000 licensed beds, making MPT the second largest non-governmental owner of hospital beds behind HTA. These properties are located in 29 states and in Germany, the UK, Italy and Spain. These facilities are operated by 31 different operating companies. In a continuing attempt to provide the most relevant lease coverage numbers, we're going to present the numbers in two ways this quarter. The first will be our traditional EBITDAR lease coverage and the second will be one use most often by our peers EBITDARM lease coverage. I want to be sure to point out that our first quarter coverage numbers for acute care hospitals and thus the total portfolio, had been adjusted downward as a result of 2016 audits. Prime represented the biggest drop in lease coverage due to a lower than expected cash collections primarily at six hospitals due to the various revenue cycle issues such as business office restructuring, changes in software and integration issues primarily related to acquisitions of non-MPT related hospitals. Prime is expected to write-off approximately 6% to 7% of their 2016 revenue. This write-off is for 2015 and 2016, but in our numbers to be the most conservative. We've shown of 100% of it in 2016. Prime is working diligently to resolve these issues and believes that most of these will be resolved by 2018. Prime operates 45 hospitals of which MPT owns 22. For the first quarter of 2017, using cash collections rather than net revenue, Prime's trailing 12 months EBITDARM coverage for its MPT hospitals was approximately 2.4 times. We're showing the cash collections coverage as a benchmark floor to show the continued strength of our Prime hospitals. Post the Steward IASIS transactions, Prime will represent approximately 12% of our total portfolio. Now, for the portfolio, EBITDAR lease coverage was flat quarter-over-quarter at 2.7 times. Year-over-year it was down 50 basis points. EBITDARM lease coverage was 3.4 times. For our acute care hospitals, EBITDAR lease coverage was flat quarter-over-quarter at 3.3 times. Year-over-year it was down 50 basis points. EBITDARM lease coverage was 4.2 times. For our LTACs, EBITDAR lease coverage was flat to just slightly up quarter-over-quarter at 1.3 times. Year-over-year, it was down 50 basis points. EBITDARM lease coverage was 1.8 times. For IRFs, EBITDAR lease coverage was flat quarter-over-quarter at 1.7 times. Year-over-year, it was down 10 basis points. EBITDARM lease coverage was 2 times. Our LTAC portfolio as a whole seems to have stabilized, while the year-over-year was still down, the quarter-over-quarter was slightly up. Only three of the LTACs have EBITDARM coverage below one times. All three of these LTACs are Ernest facilities. We and have Ernest believe that we have a solution for the Boise facility and are continuing to push for that resolution. All of the Ernest leases are cross-defaulted and continue to produce an EBITDARM trailing 12 month coverage in excess of 1.75 times. While we have all watched in frustration, the inability of Congress to bring certainly the healthcare issues, our basic investment thesis at MPT has not changed. There are three things that we're absolutely sure of. Reimbursement will change and reimbursement in some form will always be here and hospitals are not going away. As many of you have heard me say many times, you cannot imagine in our lifetime any developed country without hospitals. We are confident that we have some of the world's very best operators. And as the rules of reimbursement change, our operators will change with them. We underwrite each hospital on a standalone basis. The first group of questions we ask ourselves are, 'Does the community need this hospital? Would the community suffer if this hospital were to close?' If the answer to both of these questions is yes, then you can work through most of any other issues. Steve will go through our balance sheet in more detail in just a few moments, but I want to reiterate one specific point. As we complete these large acquisitions, we've been able to structure our balance sheet to protect the strong debt metrics and we will continue to do so. Steve?
Steven Hamner: Thank you, Ed. This morning we reported normalized FFO of $0.32 per diluted share for the second quarter of 2017. There are only two items aggregating about $10 million to reconcile NAREIT defined FFO to our normalized FFO. And those are $751,000 in loan-free amortization and about $9 million in real estate transfer taxes related to the German hospitals that we closed during the quarter. There are a few updates I want to describe before we go into questions starting with our most recent Steward acquisition. We presently expect this series of transactions to close during the fourth quarter. As we have previously announced, we reported a binding agreement to invest approximately $1.4 billion in real estate assets of IASIS, which will then be leased to a mortgage by Steward as part of Steward related agreement to acquire ownership of IASIS. We will also make $100 million investment in Steward, which will bring us up to ownership of a little less than 10% of Steward's equity. During the second quarter, partly in anticipation of this transaction, we issued $43 million shares of common stock for total proceeds of about $548 million. Our bank group has committed to fund a term loan of up to $1 billion to complete the acquisition. Alternatively we are considering other debt solutions ahead of closing including longer term unsecured bonds. Our expectation is that regardless of whether we close using the term commitment or a bond offering, our total funded debt will approximate 5.7 times our in-place EBITDA following closing of the investment and we intend to lower this even further through transactions that may include asset sales, joint venture arrangements, earnings retention, and depending on market conditions other capital transactions. Almost a year ago we entered agreements for the EUR$216 million acquisition of 20 rehabilitation hospitals to be leased to our German master tenant MEDIAN Kliniken. Those of you have followed our German investments are familiar with the sometimes lengthy process of clearing the rights of the local governments to preempt our purchase and step into our shoes as a purchaser, although that has never happened with almost 75 acquisitions in Germany. In any case, during inside the second quarter, we closed on the remaining 13 of these facilities completing the acquisitions we announced last year. We now leased to MEDIAN about 70 hospitals with an aggregate dollar value of about $1.3 billion and expected 2018 lease revenue of about $120 million at current exchange rates. The Adeptus bankruptcy process continues as expected with respect to our investment in Adeptus operated facilities. There have been no material changes to the plans we have previously described. August rent for 100% of our properties has been paid. All leases will be affirmed and assumed as part of the bankruptcy plan and approximately 13 facilities will later be severed from the master leases and MPT will either sell or release them to other operators. We call these the transition properties. We continue to be highly confident that there will be no material loss or impairment concerning these 13 transition properties. Adeptus is targeting bankruptcy plan confirmation and exit in September or October. Remember that we continue to be paid 100% of our rent while bankruptcy continues. In fact, we will continue to be paid rent even on the transition properties for between 90 days and a full-year following confirmation of the bankruptcy plan. With this morning's earnings announcement, we renewed 2017 guidance estimates and initiated 2018 estimates. You will remember that in May when we announced $1.5 billion IASIS, Steward transaction we suspended our 2017 estimate until we could have more certainty about the timing of closing along with the timing and cost of permanent financing for the transaction. Based on our current expectations concerning transaction timing, we believe our full-year 2017 normalized FFO per share will fall in a range between $1.29 and $1.31. This compares to our initial estimate from earlier this year of between $1.35 and $1.40. The reduction is due in substantial part to our decision early in the second quarter to pre-equitize the IASIS, Steward transaction with about $550 million in new common equity and our anticipated timing of an assumed $1 billion unsecured notes offering that will likely result in diluted interest expense for the period between the bond offering and closing of the acquisition. This temporary dilution, however, is more than recovered starting when we complete the IASIS Steward transaction and is demonstrated by our estimate of 2018 normalized FFO per share. Even assuming no additional acquisitions this year or in 2018, we expect normalized FFO in 2018 between $1.42 and $1.46 per share. That's between 11% and 14% per share growth on top of the double-digit annualized compound growth for share that we have created over the last three calendar years. To be clear, our 2018 estimate does not include any undisclosed acquisitions nor does it include possible asset sales, including possible JV type dispositions that we have previously described. We continue to believe and work toward a meaningful amount of asset capital recycling as appropriate in order to maintain leverage within our long-term 5.0 to 5.5 times target and to reduce our exposure to any single tenant relationship and we think one or more sale or JV transaction can be completed during 2017. As we have more certainty about the timing and amount of asset sales and as our acquisition pipeline has further developed, we will of course revise our estimates. In any case, based on our observations and participation in market conditions in both the US and Western Europe, we are confident that we will continue to grow and improve our portfolio of high quality hospital real estate along with FFO per share and dividends well into the future. And with that, we will be happy to take any questions. Operator?
Operator: Thank you. [Operator Instructions] And our first question comes from Drew Babin with Robert Baird. Your line is open.
Drew Babin: Hey, good morning.
Edward Aldag: Good morning, Drew.
Drew Babin: First off, I was hoping to ask about the expected $1 billion bond for 3Q with current terms look like in the market and the duration you are expecting on it.
Edward Aldag: So, based on our observations of the market and bankers advice to us, we continue to expect a 5.25 to 5.5 plus or minus all-in rate and a 10-year term.
Drew Babin: Okay. That's helpful. And then, just on the EBITDA coverage ratio on a trailing 12-months, besides the prime breakdown, is there anything else to highlight the rest of your portfolio in terms of specific tenants you have your eye and/or specific tenants that are exceeding expectations?
Steven Hamner: Drew, from a negative standpoint, the only other one would be the three facilities, which I mentioned of Ernest. The three LTAC facilities that continue to have coverage below one time. But as I mentioned in the prepared remarks, we think we have a solution for one of those and hopefully by the time we get around to the next earnings call, we'll be able to announce that. Steward continues to perform well. They were right on track with what our original projections were. We believe that as they get to the CHS facilities they acquired under their belt, they will be able to continue to report good earnings from them as well. Obviously, some of the IASIS facilities we've already had in our portfolio, we know how well they're performing and I think that those will continue to perform well as well. But the only other negative is the three Ernest facilities.
Drew Babin: Okay. And then quickly on the Prime rate down, is this something that tends to happen from time to time within your business or is this kind of an issue that's unique or something that may ultimately impact 2017 revenues on a look-back basis?
Edward Aldag: Yeah, I think it's somewhat unique. It has to do with Prime's very rapid expansion that they had, many of the facilities that they had issues with our non-MPT facilities and it's integration of those facilities into their systems. They're in the process or they have been in the process of regionalizing their billing offices, so that all of the acquisitions that they were doing prior to this point were still trying to play catch up in getting into the Prime systems and on top of that they instituted a switchover from their existing accounting system over to EPIC [ph]. That created some issues. So, it's somewhat of an unusual not totally unexpected just to point out that the roughly 50% of the total write-down that we've included all in 2016 related to some of the prior years. They've used this opportunity we think and they have expressed to totally clean up the situations and hopefully we won't have this going forward.
Drew Babin: Right. That's very helpful. Thank you.
Operator: Thank you. And our next question comes from Chad Vanacore with Stifel. Your line is open.
Chad Vanacore: Good morning.
Edward Aldag: Good morning, Chad.
Chad Vanacore: Just some questions on timing, what's the expected timing of closing Steward at the end of fourth quarter, is it toward the beginning, middle, or end? And then any contribution - is there any contribution from the transaction assumed in 2017 guidance?
Steven Hamner: Yes, that varies to answer the second part of that question, because the answer to the first part is we're hopeful and we think we have good reason to be hopeful that it will be relatively earlier in the fourth quarter. So, there would be contribution in the remainder of the year for the Steward acquisition.
Chad Vanacore: All right. Steve, does that assume that maybe your debt financing gets going in the third quarter then?
Steven Hamner: Generally speaking, yes. We do assume that the debt financing is done ahead of the closing and that's really what I was pointing out in my prepared remarks when I said there'll be temporary dilution of interest expense because it will be carrying interest expense in, I mean, just to get well into the weeks, extra interest expense of between four and six weeks that those bank proceeds will be basically dead and diluted.
Chad Vanacore: Got you. And then just thinking about your commentary on JV transactions, what do these look like and then who are the potential partner types, private equity, operators, and somebody else?
Steven Hamner: The targets are private equity, which frankly is probably not going to be the result, but primarily large institutional money managers that in particular manage public and private pension funds, sovereign funds, if I had to handicap who is going to be first to the finish line, it would be somebody like that.
Chad Vanacore: All right. And then just thinking about your 2018 growth that's pretty robust, what's factored in there?
Steven Hamner: Generally nothing, Chad. We don't have any acquisitions factored in there. And as I pointed out, neither, of course, do we have the JVs or asset sales, which all things equal would be nominally dilutive. So, it's going to be revised up and down, net, we don't know. And as soon as we have more clarity on things like potential JV arrangements, additional material acquisition and property sales and we will periodically revise that estimate.
Edward Aldag: And, Chad, we obviously think we will do significant acquisitions in 2018. We're obviously working on some of those now, but we don't have any of them in the model.
Chad Vanacore: Got you. All right. Thanks. And then just last one for me. You had some commentary on Adeptus. It seemed like the bankruptcy proceedings may have hit some speed bumps. Is there anything you can share with us there and any changes from last quarter?
Steven Hamner: No, I think you're right. And I think the speed bump that has caused some anticipated delay is the fact that there is an equity committee and the equity committee believes there's more value to Adeptus - actually Adeptus management has presented and Adeptus advisors have presented. And so, there is discovery going on that's driven by the equity committee. It has no impact on our deal. And in fact it can only be positive if the Adeptus is even more valuable than management in Deerfield underwritten.
Chad Vanacore: All right. Thanks for taking my questions.
Operator: Thank you. Our next question comes from Michael Carroll with RBC Capital Markets. Your line is open.
Michael Carroll: Yeah. Thanks. Can you give us some more color on your Prime commentary? I guess did these write-downs relate to your properties and non-MPW properties or did you say it's primarily related to non-MPW properties?
Edward Aldag: It does relate to both, but it primarily relates to non-MPT properties.
Michael Carroll: And then you said these were revenue write-downs, but then I thought I heard that you were talking about integration throughout the system. So, if they were revenue write-downs, why does it matter if the systems weren't integrated yet?
Edward Aldag: Well, it has to do with what their cash collections were on the facilities and changing over from EPIC changing over from their existing accounting program over to EPIC. And so, it's the situation where all of the local CFLs worn on the same page with Prime and the models that they have and having the success that Prime has normally had in the past.
Michael Carroll: So, they just weren't sending the bills out on time, so they weren't in the collections.
Edward Aldag: Not necessarily, not sending the bills out on time as much as not following up on the collections.
Michael Carroll: Okay. And was this the primary issue that dropped coverage on the general acute care portfolio to 3.3 from the 3.9 that was reported last quarter?
Edward Aldag: Almost entirely.
Michael Carroll: Okay. And then these situations, are you comfortable that they've been solved and will it be a problem as you move into 2017?
Edward Aldag: Well, they certainly have not all been solved. We expect that we and they expect that this will have most of them resolved by the time we get to 2018. Most important from our standpoint is that they recognize the issues and we have confidence in meeting with them on a regular basis about how they go and how they're going about resolving these issues.
Michael Carroll: Okay. Great. And I guess the last question. Steve, can you comment on the releasing progress on the remaining Adeptus portfolios? I'm sorry if you mentioned this already, but is there a lot of interest in those assets still and how have they been performing throughout bankruptcy right now?
Steven Hamner: There is a tremendous amount of interest. And in fact we've had to keep the foot on the brake pedal, because in order to actually close anything we have to go through the bankruptcy process and so as Chad mentioned a little earlier, when you refer to speed bumps in that process that keeps us from actually, for example, selling those properties and there is probably upwards of three or four of those 13 properties that we intend to sell. The rest of them that we intend to release and we have releasing targets already identified with agreements in place for those assuming the completion of the bankruptcy.
Michael Carroll: Okay. Then how have those assets been performing throughout the bankruptcy?
Steven Hamner: I don't - I don't - I can't answer that specifically. Those 13 assets, I just don't have that either off the top of my head or in front of me.
Edward Aldag: So, most of them might actually have been performing better than they were prior to the bankruptcy. There are a few of them primarily in the Dallas area that are not. But even those Dallas facilities, as Steve was pointing out, were not for the bankruptcy. We would have already either released or sold those facilities. There are people waiting in line for all of them.
Michael Carroll: Okay. Great. Thank you.
Operator: Thank you. And our next question comes from Vincent Chao with Deutsche Bank. Your line is open.
Vincent Chao: Just on that last topic, earlier Steven, you had mentioned that you don't expect any losses or impairments be taken on this. I guess from a GAAP perspective, would you be required to take an impairment at this point given that you know you're going to sell these assets or is the fact that they're not out of bankruptcy yet, limiting factor there?
Steven Hamner: If we had indication that there was an impairment notwithstanding the bankruptcy, we would have to recognize that. And maybe I should clarify, as always when we have accrued straight line rent, it's possible that there will be a write-off of straight-line rent as we transition from one tenant to another, but that doesn't impact our go forward revenue or doesn't create an impairment issue at all.
Vincent Chao: Got it, so based on the indication it sounds like you have interest on those assets. It doesn't seem like an impairment decision coming out. That's the way to think.
Edward Aldag: That's right.
Vincent Chao: Got it, okay. All right, and then LTAC coverage, you talk about three Ernest assets that are dragging that lower, the last quarter there was a decline as well on the IRFs as well and I think the conversation was suggesting at the first quarter was significantly better than the fourth in terms of EBITDA generation and I was just curious absent of the three earnest facility issues, I mean I guess would we have seen a fairly large increase in LTAC coverage, just given the improvement in the first quarter numbers?
Edward Aldag: Well even with those in there we had a very slight increase quarter-over-quarter, very, very slight. Without those three facilities in there you would have seen a decent increase certainly wouldn't have been a great increase.
Vincent Chao: Right. Okay. And then on the coverage for the acute care hospitals obviously Prime is hurting us over this quarter or hurting you guys. Just curious as you think about changing same store pool, how should we be thinking about where this number might sort of bottom before it starts to see a tick back up again and I specifically I guess are the Capella assets, are they currently in the same store pool or not I think they are just outside the three year window?
Edward Aldag: I think the Capella facilities are in the same store - they are not in the same store, but you're right. They are just outside of out of them. Let me go back to your first part of your question. And that's a good point that you made about the same store, it is usually changing. We added three additional facilities to the same store this year. Two acute care hospitals and one off. The acute care hospital, one of those was a very large facility, which never has had the type of coverage that we have seen in sort our other facilities. So even without the Prime down that would have had a slight negative effect on the overall same store coverage. From the stand point of looking at our acute care hospitals overall, outside of Prime, we actually saw quarter-over-quarter our facilities have a slight increase in their utilization. You look at some the - one of the other publicly reporting hospital companies have reported in the last couple of weeks and you saw a softness in some of theirs. We obviously had the same softness year-over-year, but quarter-over-quarter, we saw the slight increase, so hopefully borrowing the fact that the third quarter is always the worst quarter that at least they're stabilized if not actually on the uptick a little bit.
Vincent Chao: I got it. I guess the question now is, it seems you have been pretty active on the acquisition front on the hospital side as Capella rolls in and as the first round of Steward rolls in over the next six months or so. How should we expect that 3.3 to evolve?
Edward Aldag: Yeah. It will come down slightly. As you know from the original acquisition of the Steward original nine facilities, those facilities are currently generating about a two times coverage. We expect by the end of 2018 that those original nine that will be closer to a three times coverage is slightly below that number, but then you will also add - start adding in some of the other facilities that don't have that type of coverage. So you are right. Just by adding to the same store you will see a slight decrease in our adjusting coverage.
Vincent Chao: Got it, and then just on the Capella well what are those they're covering right now?
Edward Aldag: They are almost a three times coverage right now.
Vincent Chao: Well almost three times. Okay. All right, thank you that's very helpful.
Operator: Thank you and our next question comes from Eric Fleming with SunTrust. Your line is open.
Eric Fleming: Good morning.
Edward Aldag: Hi, Eric.
Eric Fleming: On Steward, you give us the pro forma percentage of the investment. What is the pro forma revenues in line with that investment number?
Edward Aldag: You're talking about the percentage of our total portfolio?
Eric Fleming: Yeah.
Edward Aldag: Yeah. It's very close to that. If you look at all of the properties, their revenue percentages of the portfolio are very close to each other.
Eric Fleming: Okay. And in terms of disposition activity, where there any dispositions in 2Q or kind of what is your outlook for dispositions for the year outside of like a big sale like you talk them out in terms of that?
Edward Aldag: There were no dispositions in 2Q. There is a high level of interest, growing interest from potential buyers for certain of our properties and we believe we have the opportunity, if we let to take advantage of it, to selectively sell what would even be some significantly sized individual properties. And that's something that we continue to evaluate.
Eric Fleming: And is there any slant in terms of what type of assets whether it's the hospital versus LTAC versus IRF?
Edward Aldag: No, it's acute.
Eric Fleming: Okay. That's all. Thanks.
Operator: Thank you. And our next question comes from Juan Sanabria from Bank of America. Your line is open.
Unidentified Analyst: Hi, this is Kevin [ph].
Edward Aldag: How are you?
Unidentified Analyst: Good, how are you? I just had a question just going back of the JVs. Could you give me clarity on or mentioning regard what you guys have been saying I guess a sense of like cap rates or kind of yield on assets you guys have been I guess marketing or comparable assets in the market?
Edward Aldag: Yeah, so we are very satisfied bordering on enthusiastic for the interest level that we are getting from potential buyers not only individual assets that I just mentioned, but from potential investors in the joint venture arrangements and while we are not prepared obviously to estimate exactly what they may be. They are achieving one of the primary goals that we have had in putting together joint venture assets and that is to demonstrate what we think is significant value accretion that we have created by owning these properties over the years and that's reflected in cap rates that are significantly lower than our book basis cap rates.
Unidentified Analyst: Okay, alright. It sounds good. Thank you.
Edward Aldag: Thank you very much.
Operator: Thank you. And I am showing no further questions at this time. I would now like to turn the call back Mr. Ed Aldag for any closing remarks.
Edward Aldag: Thank you, operator and thank you all of you for listening in today. And as always, if you have any additional questions please don't hesitate to call. Thank you.
Operator: Ladies and gentlemen, thank you for your participating in today's conference. This concludes today's program. You may all disconnect. Everyone have a great day.